Operator: All participants, please stand by, your conference is ready to begin. Please be advised that this conference call is being recorded. Welcome to The North West Company Inc. Fourth Quarter Results Conference Call. I would now like to turn the meeting over to Mr. Dan McConnell, President and Chief Executive Officer. Mr. McConnell, please go ahead.
Dan McConnell: Thank you very much, and good afternoon everyone and welcome to The North West Company First Quarter Conference Call. I'm just joining here today -- I’m being joined here today by John King, Chief Financial Officer and Amanda Sutton, our VP Legal and Corporate Secretary. I'm going to start the meeting by asking Amanda to read our disclosure statement.
Amanda Sutton: Thank you, Dan. Before we begin, I'll remind you that certain information presented today may constitute forward-looking statements. Such statements reflect North West's current expectations, estimates, projections and assumptions. These forward-looking statements are not guarantees of future performance and are subject to certain risks, which could cause actual performance and financial results in the future to vary materially from those contemplated in the forward-looking statements. For additional information on these risks, please see North West's annual information form and its MD&A under the heading Risk Factors. Dan?
Dan McConnell: Thanks, Amanda. And welcome again everyone. I'm really pleased with our results this quarter and excited about the momentum we're building. I'll start by providing you with an overview of the key highlights in the quarter. Consolidated sales in the quarter increased 9.7%, driven by inflation, foreign exchange and new stores. Consistent with previous quarters we continue to cycle through pandemic-related sales increases from last year, although the impact was less than in previous quarters. Customer shopping behaviors in following the same trend we've seen over the past few quarters with a shift in spending to food and essentials and a decrease in purchases of discretionary general merchandise. And this is all as a result of the impact of the higher cost inflation. This shift in spending was a key factor contributing to the increase in food and decrease in general merchandise on a same store basis. The impact of higher cost inflation and changes in sales blend continue to negatively impact our gross profit rate as cost increases were not fully passed on in the retail prices, and we had higher markdowns on general merchandise. That said, the 23 basis point decrease in gross profit rate for the quarter was less than the trend in previous quarters. Overall, net earnings were down marginally in the quarter, but adjusted net earnings which excludes the impact of a large insurance-related gain last year were up 17.9% compared to last year. With that overview, I will now provide some more color on the results for the quarter. I'll start with the Canadian operations. In Canada, sales increased 8.6% in total and were up 2.6 % on a same-store basis with a 4.3% increase in food sales, offsetting the impact of a 2.9% decrease in general merchandise sales due to the shift in spending that I referred to earlier. The increase in same-store sales was also due to higher inflation and government inflation relief payments combined with a good in-stock position. The new stores we opened earlier in the year also contributed to the increase in sales. We added a new store in Sheshatshiu in Newfoundland and two new Quickstop convenience stores in Coral Harbour, Nunavut, and Little Grand Rapids, Manitoba. Overall, we were able to maintain a good in-stock position on essential -- on our essential items, particularly in the sealift stores, and with the support from NSA, which contributed to the sales increases. Speaking of NSA, in addition to the support they provided our retail stores, they also had a very strong quarter and it was driven by high craft utilization in both cargo and passenger, an increase in the third-party cargo and an increase in passenger volumes that also played a factor. In addition to these factors, higher revenue in the airline is also the result of pass-through increases in aviation fuel cost, and leveraging the investment we made in a large cargo door ATR in the fourth quarter last year, and this enabled NSA to offer cargo services for larger items. All right. Let me switch gears and briefly comment on international. Sales increased 4.5% with new stores in Alaska mitigating mixed results in the Caribbean and Pacific regions, similar to what we reported last quarter. We opened a new store in December in Toksook Bay Alaska, which had a great reception from the community. This adds on top of the new Metlakatla store open that we did earlier in the year. Same store sales increased 1.4%. We continue to see a similar story to Canada here were 3.7% increase in same-store food sales offset a 14% decrease in general merchandise sales as customers continued to just spending to food given less disposable income resulting from a combination of higher inflation and lower government income support funds. On the other hand, certain Caribbean markets like the BVR -- BVI are performing very well compared to last year as tourism has improved after the pandemic. And similar to Canada, some US markets in the Caribbean and Pacific continue to cycle through government income support funds that were present last year but are no longer available. Now few comments on the gross profit expenses. Our teams have prioritized operational excellence to help mitigate the impact of inflation. Merchandise cost inflation has continued in the quarter. Although, we've seen some moderation on the pace at which these costs are rising, there are still increases being passed on by suppliers. So, when we factor in higher fuel and transportation cost, the impact of inflation on the shelf prices is even greater in the North compared to Southern retailers, given the remote nature of our markets. We continue to work with our suppliers and transportation partners to minimize cost escalations impact as much as possible for our customers and for the bottom line. The impact of higher merchandise and freight cost inflation that was not fully passed through retail prices, the change in sales blend I referred to earlier and higher markdowns, all contributed to the 23 basis point decrease in our gross profit rate in the quarter. Similar to previous quarters, expenses increased 6% compared to last year due to cost inflation, including higher fuel base utility expenses and staff costs, the impact of foreign exchange on the translation of international operations expenses and new store expenses. In terms of inventory, our levels are higher than last year largely due to the higher inflation and the impact of foreign exchange. As I just mentioned, we did take markdowns in the quarter in certain general merchandise categories that did not have sell-through that we expected in the holiday season. That said, the overall increase in inventory is predominantly in center store grocery and categories like motorized and home furnishings that were impacted by supply chain disruptions. Given the durability of these items and the relevance that they still have in the communities we serve, we still expect to sell through these items in 2023. I'll wrap up by saying that I am optimistic about our journey ahead. Our history has proven time and time again that we're resilient. Inflation and lingering potential of a global macroeconomic slowdown are headwinds that will affect our outlook. Our core competencies and the essential services we provide to the communities we serve will help mitigate the impact of these challenges. Overall, we expect to lap the pandemic-related impacts and begin comparing to a more normalized post-pandemic earnings in the second quarter. Looking forward, there is some potential tailwinds, including government transfer payments and higher infrastructure spending in the communities we serve. I'm optimistic about the future. There is tremendous untapped potential that we can unleash to drive efficiencies and grow. Opening new stores in new markets in Alaska and Canada has demonstrated our capability to bring to remote markets essential products and services that the communities we serve appreciate and value. Our conviction to our purpose of making people's lives better in the communities we serve is as strong as ever and we will continue to build on and optimize on our core capabilities and merchandising operations and logistics and this is one of our top priorities. We will also continue with modernizing our technology to enable greater efficiencies within our business and provide scale and capability for the future. With that, let me open up for any questions, and thank you.
Operator: Thank you. We will now take question from the telephone lines. [Operator Instructions] The first question is from Michael Van Aelst with TD Securities. Please go ahead.
Unidentified Participant: Hi guys. It's Evan, standing in for Mike. Congrats on a strong quarter. I just had a question on gross margin. So, in Q3, we saw your gross margins contract about 80 basis points year-over-year, in this quarter we saw them contract only about 20 basis points. So, I would have expected that the high inflation in Q4 would have pressured margins more than what we saw. Can you walk through some of the factors that changed in Q4 versus Q3 that prevented gross margins from coming down as much as in Q3?
Dan McConnell: Sure. There's two factors. We did pass on more to the customers as obviously, needed to be done and also NSA. NSA also increases result. I told you there was higher performance there. And given some of the charges, the fuel charges that we talked about, we did pass those on as well. So that's what led to that impact.
Unidentified Participant: Okay, great, thanks. And is there any change in the competitive activity or are the competitors passing on more than they were in Q3 as well? And anything you could talk to about that?
Dan McConnell: Yes. No, I think that's absolutely -- that's one of the enablers to allowing us to pass on some of our costs is exactly right, because a lot of the competitors are obviously feeling the pinch, I would say, as much, if not, more than we are, and have definitely taken first stride in raising some of their prices.
Unidentified Participant: Okay, great. Thanks. And looking at sales in Canada, you had mentioned government inflation relief payments as a contributor. Can you talk about when they started and when it's expected to finish and on what level, what amount we're talking about?
John King: Sure, Evan. It's John. What we're talking about there is the federal and provincial governments had issued various inflation relief payments, is what we've called them, there was an extra GST that was -- that vehicle was used, several of the provinces and territories had additional payments. So, those all added up to have an impact in the quarter.
Unidentified Participant: Okay. Thanks. I’ll get back into queue.
Operator: Thank you. [Operator Instructions] The next question is from Kunaal Gidwani with CIBC. Please go ahead.
Kunaal Gidwani: Hi, thanks for taking my question. So, I wanted to know if you could talk about out shopping and where does that stand right now versus a year ago and then pre-pandemic levels?
Dan McConnell: Okay. So, as far as have I seen a significant increase in out shopping?
Kunaal Gidwani: Yes, correct.
Dan McConnell: Okay. I don't think so. And the reason being is, because as I indicated, a lot more of people's money is going towards essential items. So, I'd say that people's disposable that went towards more general merchandise, which is typically more out shopped is prevalent. But if you're talking about previously, there is no restrictions in travel. So people that are traveling out of markets are definitely procuring out of market. It also aligns with the fact that it's, I guess, you're probably in Toronto, but this season is a little longer right now as far as the winter road. So there is a lot -- there is more out shopping than there would have been last year. So, I'd say things are probably at a normal level as far as our out shopping. But, so a little bit more than last year for the reasons I mentioned, the winter roads are open a little longer, and I think people are definitely getting on the market more.
Kunaal Gidwani: Okay, great. That's helpful. Thank you. And then my second question is on just kind of gross margin for the year. Given you're going to be lapping some pretty unfavorable gross margin compression, do you think just with the pricing that you're passing through in the market right now that we could probably see gross margin expansion as the year progresses all else being equal?
Dan McConnell: I mean, that's the hope. I mean, as you can see we've definitely come around. We don't have a crystal ball really is something that I cannot comment, it's so difficult to understand what the inflation rate is going to be next year. We don't think it's going to drop as significantly as we would all like, particularly in the first half of 2023. But our intention and our hope is that, we would see a gross margin or gross profit improvement in to the latter half of next year or this year.
Kunaal Gidwani: Okay, perfect. And then my last question is, in the past you've talked about making selective price investments and just given that you're passing more price right now, how does that thinking in this inflationary environment impact?
Dan McConnell: How does the thinking -- sorry, just to follow up on your question, if you could clarify. So, how does the thinking of our past price investment impact the passing on of some of the cost increases today? That's what your point is?
Kunaal Gidwani: Yes, yes.
Dan McConnell: Okay. I would say that -- the price investment is something that we do on a regular basis. So, that's what I've explained I think over the last couple of quarters, it's simply -- it's just a fact of regular retail operations. So we're always trying to work and negotiate on behalf of our customers better pricing, it's been obviously more difficult over the last couple of years. We've tried to hold back on passing through all of the price increases, obviously, just given the fact that we work hard on behalf of our communities, but we are taking a more -- we're optimizing, I would argue, a little bit more balanced approach. But in the future, we have a number of initiatives that we're going to be exploring to try and bring more value to our customers. And so, this is kind of the work that I indicated near the end of my discussion that we're focusing on because, obviously, it's been a -- last couple of years it's been about just procuring, getting sustaining stock, managing, trying to keep employees obviously ambitious, and optimistic about the future. But now that we think that the climate outside of COVID is somewhat normalized. Despite the inflation and some of the macroeconomic measures that are coming our way, we think it's a great opportunity for us to look internally within our company and really put a lot more focus into the back office to try and optimize some more efficiencies and create some value that we can pass on to the customers and the shareholders frankly in this upcoming year.
Kunaal Gidwani: Okay, that's fair. Thank you very much.
Dan McConnell: Thanks.
Operator: Thank you. The next question is a follow-up from the line of Michael Van Aelst with TD Securities. Please go ahead.
Unidentified Participant: Hey guys, it's Evan again. So just a few more questions. So if you're looking at SG&A and like excluding depreciation, you mentioned higher fuel-based utility cost and staffing cost, and are you seeing further increases so far this quarter in Q1 in that line?
Dan McConnell: Yes. Hi, Evan. Yes, we're seeing like for communities in Northern Canada that are pre-bought their fuel and were sent in, that price is stable, but certainly other communities, we continue to see pressure on the fuel-related utility costs, other costs that are in the business -- things like insurance cost. I don't now recall whether we specifically called that out, but those costs are up as well. There is a general, I would say, inflationary impact that permeates through that SG&A, but those would be two items.
Unidentified Participant: Okay. And how much of an impact was the lower incentive plan costs year-over-year in the fourth quarter?
Dan McConnell: We didn't quantify that. They were down from last year, but that's just part of the factor.
Unidentified Participant: Okay, great. And just from a seasonality basis. In a normal year, is it fair to say that Q4 is weaker than Q3?
Dan McConnell: Yes. Go ahead, John.
John King: That's hard to say, Evan, [indiscernible] transfer payments, it depends on the PFD, depends on the amount of money that is in market. It's tough to say really conclusively, but it's definitely a strong market for us for sure, our strong quarter.
Unidentified Participant: Okay, great. And then I guess just one last question. Can you talk a little bit about your decision to close the [indiscernible] store and the relative size of that store versus other costless stores? And if there is similar dynamics that are in play in other islands that may affect your decisions in those markets?
Dan McConnell: Yes. Not at all. In fact, it's a smaller store, it's always been a store that we had some concerns over. And so, we were at a point where we didn't think that the way -- the optics looking at the market and the market conditions, we didn't think that it was the right place for us to be spending more resources where we think there's other better opportunities for us to allocate our resources.
Unidentified Participant: Okay, great. Thank you.
Operator: Thank you. There are no further questions registered at this time. So I will turn the meeting back over to Mr. McConnell.
Dan McConnell: Okay. Well, thank you very much for the time today, and I appreciate it. We'll see you next quarter.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.